Operator: Dear ladies and gentlemen, welcome to the Merck Investor and Analyst Conference Call on Fourth Quarter 2020. As a reminder, all participants will be in a listen-only mode. May I now hand you over to Constantin Fest, Head of Investor Relations, who will lead you through this conference. Please go ahead, sir.
Constantin Fest: Thank you very much, Diana, and a very warm welcome to this Q4 and Full Year 2020 Earnings Call. My name is Constantin Fest. I'm Head of Investor Relations here at Merck. Please note, that presenting today are Stefan Oschmann, our group CEO; and Marcus Kuhnert, our Group CFO; as well as Kai Beckmann, CEO of our Electronics Business Sector, previously PM. For a short introduction to the capital markets, Peter Guenter, our new CEO of our Healthcare business sector is also joining this call and will be available for the Q&A. Please note that, Danny Bar-Zohar, our Healthcare Global Head of Development is also available for questions. Lastly, I'm delighted to let you know that, Belen Garijo, Vice Chair of the Executive Board and Deputy CEO of Merck will join us for one or two minutes, after the presentation for a brief message. With this, we will now guide you through the key slides of this presentation, and I will then be happy – all of us will then be happy to take all of your questions. Stefan?
Stefan Oschmann: Thank you. Thank you, Constantin, and also a warm welcome from my side. Welcome to our full year earnings call. I'm on slide 4 of the presentation starting with the highlights. 2020 was an unprecedented year in many respects and it was a successful year for Merck. Despite the challenges we faced amid the COVID-19 pandemic. Operational performance was strong, we continue to make excellent progress with our strategic agenda, and we delivered on our upgraded guidance. By sector, Healthcare had a solid year overall, with a broadly stable base business and significant growth of new products. At the same time, we advanced our pipeline further and rigorously managed our costs. Performance of Life Science was outstanding, with robust growth in the core business, and significant contributions from COVID-19 related business. In addition, we further strengthened our leading market position through innovations and significantly invested in exciting areas for future growth. Performance Materials, which will be called Electronics from now on saw a major boost due to consolidation benefits from Versum Materials, and most importantly, returned to sustainable organic growth in Q4. That said, we are looking ahead to 2021 with optimism. Our key growth engines AKA the big three are running full steam ahead. And we expect profitable growth of the group to be driven by all three business sectors and more details in our guidance later. On slide 5, you see a summary of our headline promises of last year. And as you can see, we delivered on all of them. In fact, we even slightly outperformed our latest organic growth projections with group sales up plus 6%, and EBITDA pre up plus 8.4%. That excludes both currency and portfolio mix as well as the biogen provision release.
Marcus Kuhnert: Thank you very much Stefan and a warm welcome also from my side. I'm now on Slide 13 with an overview of our headline figures for 2020. Overall, we are very happy with the development of our key performance metrics. We saw strong sales growth of 8.6% and even faster earnings growth with EBITDA pre and EPS pre excluding the Biogen provision release up 10.3% and 9.2% respectively. We faced significant currency headwinds although these were more than offset by positive portfolio effects while nonrecurring income items excluding the Biogen provision release were over €300 million lower than in 2019. Please also note that in line with our policy EPS pre include impairments for certain Healthcare assets in the mid-double-digit million euro range in Q4. Operating cash flow was very strong up 22% reflecting strong earnings growth paired with good working capital management. As a result we were able to delever it quickly with net debt-to-EBITDA improving from 2.8x to 2.1x year-on-year. Moving on to the composition of growth in 2020 on slide 14. Group organic sales growth was strong at 6%, as a moderate decline in Electronics was more than offset by moderate growth in Healthcare and very strong growth in Life Science. Earnings followed the same pattern and Stefan has already guided you through the most important drivers for each of the three business sectors. So let me just add a comment on corporate and other costs. These were higher compared to our latest guidance mainly due to lower-than-expected hedging gains and provisions for our long-term incentive program. Portfolio effects were positive partly compensated by negative FX resulting in group EBITDA pre of EUR 5.2 billion. Organically EBITDA pre rose 16.8% or 8.4% excluding the Biogen provision release and by 12.1% in Q4. However, before diving into the details of the first quarter, let's take a brief look at our reported figures on slide 15. EBITDA pre increased by €817 million in 2020 for the previously mentioned reasons, while EBIT growth was even higher at €865 million giving lower adjustments compared with 2019. The financial result improved by €30 million, mainly reflecting a better interest result. The effective tax rate came in at 24.2%, which is towards the lower end of the guided range. As such, reported net income and earnings per share rose by 30%. And with that let's move on to a review of our fourth quarter results starting with Healthcare on slide 16. Healthcare organic sales growth in Q4 was solid at 4.1%, reflecting a broadly stable base business and significant incremental contributions from our new products.
Kai Beckmann: Thank you, Marcus and good afternoon, everybody. So I'm now on slide 18 of the presentation. So let me start by building on Stefan's comments on the strong organic sales growth of our now renamed Electronics sector. Electronics delivered organic sales growth of 8% in Q4 despite a prevailing COVID-19 impact on end markets and Surface Solutions in addition to the decline in Display Solutions. Clear turnaround in the first organic growth in seven quarters was driven by strong above-market organic growth of 20% in Semiconductor Solutions, which as of Q4 also includes the growth of legacy Versum. Along with FX burden of 6.5%, fourth quarter EBITDA pre was also impacted by year-end inventory management and respective under absorption of fixed cost and production. This resulted from the COVID-19 driven sales drop in Display and Surface Solutions in the prior two quarters. Nonetheless, we are able to keep the EBITDA pre margin very close to the 30% mark. This relative margin stability despite adverse external effect was made possible by continuous diligent cost management as part of the bright future transformation program, as well as significantly accelerated and increased Versum synergies which I will get through in a moment. I'm now moving on to slide 19. Stefan has already detailed the rationale behind our decision to rename our Performance Materials business to Electronics and please allow me to reiterate that message. It's not the Electronic business of Merck simply because we thought it sounds better. It's now called Electronics because we underwent a successful transformation into a business that today supplies a broad base of leading electronic players with materials, services, and equipment to enable the next-generation of electronic devices. So, looking back and comparing the business to what it was in 2013, we have not only more than doubled the sales through focused investments and acquisitions we have also transformed into a much broader business with leading positions as an innovation-driven supplier to the semiconductor and display industries. We can proudly state that we have a best-in-class portfolio of capabilities and we are confident that return to organic growth in Q4 2020 with 8% above last year is an important proof point of the success of this transformation. So, I am now moving on to slide 20. Innovation in the electronics industry is driven at the atomic level where our materials, service, and equipment enable our customers to make smarter smaller faster and more energy-efficient devices. So, in fact, the importance of materials continues to grow with each new generation of electronic devices. And our proven track record of deep expertise in this area supports a strongly positive outlook for the coming years. Furthermore, while the significant increase in work-from-home and learn-from-home settings has its own challenges for many industries and for society at large it is potentially also a catalyst for a paradigm shift that will further strengthen the positive momentum for technology and infrastructure in electronics. As you know we upgraded our midterm guidance for organic sales growth in the sector to a CAGR of 3% to 4% at our Capital Markets Day a couple of months ago. In addition, we already upgraded our original Versum synergy commitments twice in 2020 and we are significantly accelerating and increasing them again today. And last but not least, we are even more optimistic regarding 2021 in particular as you will see in the guidance section of this presentation. Now, on slide 21, you will find our latest Versum synergy update. As I just mentioned, we raised our targets for 2020 twice. And thanks to additional Q4 efforts of our teams, particularly in procurement and supply chain, where tracking shows that we are already -- we already fully realized €50 million cost synergies in 2020. As stated earlier, this acceleration allowed us to keep the EBITDA pre margin close to 30% even in Q4 despite a significant FX spend and COVID-19-driven under absorption of fixed cost from year-end inventory management. Looking towards 2021 and 2022, we are increasing and accelerating our synergy targets significantly now aiming for the €83 million mark, already one year earlier in 2021, while again raising our 2022 target by over 10% and to approximately €95 million. And as Stefan already noted, the integration of Versum has been a very successful journey and we are significantly ahead of plan despite the difficult external circumstances, which indeed speaks for the strong ongoing collaboration of our teams. And on this very positive note, please let me hand back to Marcus. 
Marcus Kuhnert: Thanks Kai. I'm now on slide 22 for a few remarks on our balance sheet as per year-end. The €2 billion contraction of our balance sheet is almost entirely driven by FX as a large share of goodwill and intangible is incurred in US dollar. Financial debt decreased by over €1 billion, while cash and cash equivalents increased by around €600 million given strong operating cash flow and measures to secure liquidity amid the pandemic. As already mentioned earlier, the net debt-to-EBITDA pre ratio stands at 2.1 times a significant improvement compared to the 2.8 times a year ago. The equity ratio remained stable at 41%. Moving on to cash flow in Q4 on slide 23. Operating cash flow was very strong at €1.3 billion, up 87% supported by strong earnings growth, good working capital management, and a reduced negative effect from other assets and liabilities. Investing cash flow declined significantly, mainly because last year included the acquisition of Versum. And financing cash flow increased considerably, reflecting a meaningful reduction in short-term bank loans in commercial papers. Finally, let me also briefly comment on CapEx. This was higher than guided due to a cash out for the opportunistic purchase of our Life Science premises in Burlington, Massachusetts. Excluding this effect, we would have been in the lower half of our guidance. And for 2021, we are guiding to CapEx in the range of €1.35 billion to €1.45 billion hence above our midterm outlook, mainly to support the higher-than-expected growth in Life Science. With that I would like to hand over or hand back to Stefan for the outlook.
Stefan Oschmann: Thank you, Marcus and I'm now on slide 25. In summary, our performance in 2020 was strong, strong despite the challenges we faced. We saw a material impact from lockdowns in Q2 and we actively managed a swift recovery in the second half, while simultaneously capitalizing on new opportunities. We're making significant contributions to the fight against COVID-19 and the arrival of effective vaccines less than a year after the start of the outbreak is unprecedented. Yet uncertainty remains high, which is why I would like to outline our underlying assumptions in the context of COVID-19 before going into the details of our guidance for 2021. Above all, we assume a visibly increasing penetration of vaccinations across large parts of the population starting from summer alongside a gradual easing of lockdowns with virus mutations unable to significantly validate the vaccination efforts and we believe that the overall situation will improve in the course of the year. For our Healthcare business, we confirm our base business and pipeline targets, despite greater uncertainty. More specifically, we expect the recovery of our Fertility franchise to continue and the pandemic impact on ramp-up of new products to ease. The biggest watch out here is the dynamic high efficacy market in multiple sclerosis, which is still significantly suppressed. In Life Science, we anticipate continued additional demand in process solutions, while trends in research and applied solutions will likely be more volatile and diverse with the overall effect expected to be neutral to positive. Similarly, within Electronics, we also expect a neutral to positive impact on Semiconductor Solutions, while Display and Surface Solutions should return to their respective underlying trajectories. And with that, let's move on to the guidance on slide 26. As mentioned earlier, we are looking ahead to 2021 with optimism. Organically at group level, this means, we guide to strong sales growth and even faster earnings growth with EBITDA pre set to increase in the high single-digits to low-teens, excluding the Biogen provision release. Currencies are expected to have a negative impact of 2% to 5% on both sales and EBITDA pre. On slide 27 -- on to slide 27 for a summary of our key earnings drivers in 2021. Indeed not much to comment, as these are very consistent with what we told you at our Capital Markets Day back in September. And let me just reiterate that our key earnings drivers the so-called BIG 3 are very much in task. And based on prudent assumptions they should be largely unaffected by COVID-19 with potential constraints around the uptake of pipeline products balanced by incremental opportunities in Process and Semiconductor Solutions. On slide 28, you will find the usual bottom-up perspective on the guidance. In summary, we expect strong organic sales and EBITDA pre growth in Healthcare, low teens organic sales and EBITDA pre growth in Life Science, and Electronics deliver solid organic sales growth compared with solid to strong organic EBITDA pre growth. And to be clear, when we talk about low teens growth, we mean anywhere in the range of about 10% to 13%. Now before we start the Q&A, let me hand back to me Marcus for a brief update on ESG.
Marcus Kuhnert: Thank you, Stefan. As you will remember, we introduced our three new sustainability goals on our last earnings call. So please allow me to start with a quick recap on slide 30. Our goal number one is to create a better and healthier future for more than one billion people in 2030. We will do this by leveraging innovation in science and technology to improve the quality of life for underserved populations based on our expertise across all business sectors, in close collaboration with a wide range of partners. The second goal is about the creation of sustainable value chains by 2030. To put this into practice, we will raise the awareness of our workforce on sustainability and promote supply chain stability, while continuing to provide our customers with state-of-the-art products and services based on collaboration with suppliers that follow key environmental and social standards. Our third goal addresses the reduction of our environmental footprint, and for more color on this, let's go to slide 31. Already in 2009, we set ourselves a goal for 2020 to reduce total direct and indirect greenhouse gas emissions by 20%. And I'm happy to report to you today that we actually over delivered on this target, reducing scope 1 and 2 emissions by as much as 25%. While this excluded the impact of the Versum acquisition, our new reduction goal is based on the total of around 2 million tons of CO2 equivalence, including Versum. That is, by 2030, we intend to lower our direct and indirect emissions by 50% compared with 2020, and source 80% of our purchased electricity from renewable sources. Moreover, we plan to reduce scope 3 emissions from the up and downstream value chain by 1,500 metric kilotons of CO2 equivalence. The overarching goal is to achieve climate neutrality in 2040 across our entire value chain. Regarding water, we also outperformed our 2020 goal reducing water consumption at high consumption sites by 27% over 2014. In addition, we successfully finished implementing a sustainable water management system across our sites and developed a new set of water goals for 2025 and 2030, as detailed in the bottom right corner of the chart. Finally, we are also well on track to achieve our 2025 wage target. On my last slide for today, you will find an overview of our agenda towards achieving our ESG targets. Overall, we would like to leave you with a message that we are taking ESG very seriously and are strongly convinced of the mutual benefits of pursuing the targets for our business, various stakeholders and society in large. Consequently, at this year's AGM, we will put to vote a revised Executive Board compensation system. In particular, the variable pay scheme will be extended to include our three sustainability targets from 2021 onwards, starting with the individual modifier for the profit sharing component. From 2022, the long-term incentive plan for the Executive Board and senior management will also be linked to sustainability, with an impact of up to plus or minus 20% based on performance against suitable ESG KPI. And now back to Stefan.
Stefan Oschmann : Many thanks Marcus, and this concludes our presentation for today. As you know, Belén will succeed me as CEO on May 1. And I can tell you, I simply cannot think of a better person to do so. I am actually extremely happy that Belén and nobody else is my successor. Belén's track record as a leader is superb. She's been imperative to the successful turnaround and fundamental reshaping our Healthcare business sector into a global specialty innovator. And this has also been one of the key elements of the Group's overall transformation into a global leading science and technology company. Having worked closely together with Belén for the past 10 years, I can also tell you that she is not only a tough manager and great leader, but also a wonderful person who has everything it takes to continue our success story. Belén, over to you. 
Belén Garijo: Thank you Stefan for your kind words, and hello everyone. I just wanted to share a few comments from my side, but I will keep it very brief in the benefit of time. First of all, science and technology innovation has driven Merck for over 350 years. And we owe it to Stefan's strong ambition and leadership, and the commitment of our people that Merck is better equipped to face the future than ever before. We have great business momentum across the three sectors as you have seen today and that despite the pandemic. As Stefan mentioned, I will succeed him in eight weeks from now. And I have to say, I am truly honored to follow in his footsteps and in those of multiple generations of Merck leaders who have considered themselves through custodians of our heritage and simply the next in line. Achieving lasting leadership in science and technology innovation is paramount to me. And together with my dear colleagues, I will continue to push this leadership agenda as of May. I also expand firmly by the promises that we have previously made as part of our mid-term guidance. Overall, to create sustainable value for our owners, our investors and for the society at large and what does it take to do that? First, it requires us to raise the bar for our business performance even higher, keeping a keen eye on the market, on the competition to understand how we can outperform across all sectors and functions. Turning the science and technology vision into sound strategic moves and focusing on excellent execution of our plans. Our focus will continue to be on delivering relevant innovation and profitable growth in the years to come, primarily through the so-called Big 3 that you know very well and on which, we are concentrating a substantial share of our investments; Process Solution, Semiconductor Solutions and our Healthcare pipeline. Finally, Stefan always kept us very closely connected to the Capital Markets, operating in a spirit of transparency, clear communication and productive dialogue. You can expect the same from me, and I very much look forward to continuing our dialogue in my new role. With this I'm very, very pleased to give the floor to my successor as Healthcare's CEO, Peter Guenter. I absolutely sure many of you know Peter from his previous roles at Almirall and Sanofi. We've worked together in the past. He succeeded me when I came to Merck and I am very, very pleased that he has decided to join us. Peter, over to you.
Peter Guenter: Well, thank you very much Belen and hello to everyone on today's call. First of all, let me express my heartfelt gratitude to the Merck family for the trust they placed in me to my colleagues of the Executive Board for their ongoing support and last but not least to our teams around the globe for the warm welcome and the many valuable interactions we already had since my arrival. Many of you know me from past interactions but for those who don't know me, I joined Merck from Spain based Almirall, where I served as CEO for the last three years. While prior to that I spent 22 years at Sanofi, including as a member of the Executive Committee since 2013. When Merck approached me, it didn't take much convincing that this was really an exciting opportunity that I couldn't miss. Merck's global reach together with its strong portfolio of legacy products, new launches and attractive pipeline and exciting therapeutic areas with very high unmet needs speak for themselves. And if at all needed, 2020 was the perfect showcase for the solidity of the business and the organization's agility. That being said, I cannot wait to guide Merck Healthcare forward in the years to come to contribute to our performance and advance our purpose for patients. With that back to you Constantin.
Constantin Fest: Thank you very much, Peter. I think we're now ready to take your questions. And with this Diana, please the first question.
Operator: Thank you. We will now begin our question-and-answer session.  And we will now take our first question from Matt Weston with Credit Suisse. Please go ahead.
Matt Weston: Thank you very much and good afternoon. First of all, I guess it falls to me to congratulate Stefan for his long and successful career at Merck. And obviously to wish him well at UCB and his other endeavors in retirement and to welcome Peter and Belen to their new roles. So congratulations. Moving to questions. Three, if I can please. The first is on Life Science growth during 2021 and the phasing that you've assumed within guidance over the course of the year. So clearly we had an extremely strong performance from the division in the second half of 2020. You pointed to accelerating momentum in the first half. What have you assumed in your plan for how COVID demand continues in the second half of 2021? Secondly, on the change in name of PM to Electronics, I understand that that fully reflects the majority of what you do. But what does that mean for the 10% of colleagues in the pigments business? Is that now clearly declared non-core? And should we anticipate the sales process being started in the near future? And then finally on xevinapant. Clearly a very interesting acquisition that strategically fits with Erbitux in head and neck. As I recall, you had M3814, a DNA PK inhibitor which was also being looked at as a radiosensitizer in head and neck cancer. What's happened to that in-house development program given the focus on xevinapant? Thank you.
Stefan Oschmann: Thank you, Matthew. Thank you for your kind comments. I will address your first two questions. The third question, I will give to Danny. So your question is basically about how sustainable is the COVID-19 induced upside in the near and long term? And what's the underlying growth and that's an excellent question. And let me try to address it in the following way. As you can see from our qualitative guidance for 2021, we expect another year of strong growth in Life Science against an already strong comparable. In other words, we expect two consecutive years of growth well above our mid-term guidance and this is mainly due to significant net benefits related to COVID. More specifically, regarding 2021, we expect our Life Science core business to grow robustly and be the major contributor of growth. And on top of this, we expect to continue participating strongly. I think the main driver of these tailwinds will be bioprocess to support COVID vaccine and therapy production, while diagnostics will provide a smaller contribution, as we participate in a more limited manner by supplying critical raw materials and services. Our absolute COVID book of business for bioprocess is expected to increase more than 60% over 2020, although the contribution to our total growth would be lower given the baseline already established in 2020. Looking ahead, we are continuing to assess the potential durability of this demand, which will depend on several factors, how several factors will play out including how quickly vaccinations proceed, variability of mutations, whether or not boosters are needed and durability of immunization. There's quite a few people who assume that this virus will be endemic and that mutations will continue to develop and that this will be an influenza type of situation. We've seen FDA guidance on mRNA vaccines on rapid adaptation of this without big clinical trials very difficult to predict, but clearly within the realm of possibility. So a lot of moving parts which makes it difficult to assess how much exactly we will see in 2021. And this -- whether this will be the peak or not. And we don't have a crystal ball on this to be frank, but you can rest assure that we will continue to participate in these tailwinds. And we will take our fair share. What you should also note is that we have -- I mentioned the capacity expansion and that is basically online as of January. We will be fully ramping up. We're also expanding lipid capacity. We're addressing certain constraints in filter manufacturing. We also assume that our workers will get vaccinated over time and that we can go back to more -- to better shift models. So all in all we are very positive. And yes, there might be upside to our Life Science numbers, but there's so many moving parts, we think that our current predictions are realistic and ambitious. The second question PM Electronics. So we refer to our biopharma, pharma businesses biopharma. We have plenty of businesses in there that is not bio or anything. Our Life Science business we call Life Science. We are -- we supply test materials to the mining industry et cetera. So it's normal that there are certain businesses that are within the portfolio that do not necessarily exactly fall under the terminology we use. I was asked the question this morning by the media about Surface Solutions. And my response to the media was that the team is working very, very hard to turn this business around. We see some encouraging signs from the automotive industry while cosmetics remains challenging. But we're working hard on turning -- on returning this business to success. And then I would -- with the head and neck question, I would hand over to Danny.
Danny Bar-Zohar: Yeah. Thank you, Stefan. Matt, that's a great question. So as you mentioned M3814 peposertib the DNA-PK is actually another method to sensitize the tumor to radiotherapy, radio-chemotherapy, mostly radiotherapy in the case of the DNA-PK. So generally speaking, these experiments are extremely difficult to carry out. Why? Because you need to sensitize it for sure, but you don't want to over sensitive because once you over sensitized, you come up with toxicity and then you need to reduce the doses of the radiotherapy and you enter yourself into a very unpleasant vicious circle for COVID patients. But we are running this study right now with peposertib as you just mentioned. And we'll be able to come up with the results towards the end of the second half of this year in these two settings locally advanced head and neck and rectal cancer. As it looks right now, it's quite I would say -- from the reasons that I mentioned before quite challenging. The beauty of xevinapant is that -- and this you could see actually very clearly in the Phase 2 study is that very robust efficacy that was shown on local regional control PFS and OS was achieved without any decrease in doses -- in high doses of cisplatin and radiotherapy. So this gives us confidence that this is the right way to sensitize this tumor to these regimens.
Constantin Fest: Next question please.
Matt Weston: Thank you.
Operator: And we will now take our next question from Richard Vosser with JPMorgan. Please go ahead.
Richard Vosser: Hi. Thanks for taking my questions. Two please on pharma please. Just on the Mavenclad franchise and the Multiple Sclerosis Franchise in general, perhaps you could give us your view on the impact the second wave is having on the overall demand for Multiple Sclerosis treatment? And how you see that affecting the ability to roll out Mavenclad in Europe, France and the US and the growth there? And second question just an update on the penetration into the maintenance setting in bladder for Bavencio? Again, also, how you're seeing the effect of lack of new patient starts or patient flow there from COVID-19? And how you see that developing throughout the Q 2021? Thanks very much.
Stefan Oschmann: Peter is just going to answer both questions.
Peter Guenter: Yeah. Thanks, Richard for the questions. First on Mavenclad. So what we see is actually that there are two dynamics here at play. Number one is the overall size of the high efficacy market. And then of course there is a competitive position of Mavenclad within -- we have seen actually that after the severe depression of Q2 last year that the high efficacy market came back, but always remains roughly 20% below the same levels for a comparable period the year before. And we continue to see that actually. So I think that Marcus and Stefan also alluded to that in their prepared remarks that this is something that there's a watch out. And as -- hopefully of course with the increasing vaccination, with the increasing liberalization of the lockdowns, we will see this effect waving as we progress through the year. So that's number one. Number two is about the position of Mavenclad within. So we are happy to confirm that we continue to gain market share both in Europe and in the US. Don't forget also that we have a kind of a natural hedge in our portfolio between Mavenclad and Rebif. So if the high efficacy segment is touched by COVID-19, we'll have an automatic upside of Rebif right? That's the kind of communicating basis if you will. So that's basically where we are with Mavenclad. Your second question on Bavencio. Contrary to the high efficacy market in MS, we don't really see a significant impact of COVID-19 on the development of the oncology market at large nor in the bladder cancer market. So we continue to track well with Bavencio. As you have seen from the slides, we are increasing both depth and breadth of prescribing of Bavencio. And then, of course, we're very excited by the let's say very imminent launch of Bavencio in some European countries like Germany where we have immediate access in terms of reimbursement. And also in Japan obviously. Don't forget if you think about the overall Bavencio equation that the targeted population pool is actually very high in Europe and Japan because of the significantly higher degree of use of chemotherapy in the first-line setting. So I think that you should anticipate that the relative contribution for Bavencio in bladder in Europe and Japan is going to be significant.
Constantin Fest: Next question please.
Operator: We will now take our next question from Sachin Jain with Bank of America. Please go ahead.
Sachin Jain: Hi, thank you. Thanks for taking my question. Three questions please. Firstly, on Life Science and the CapEx increase program that you've outlined, could you provide some color on what capacity increases are coming online and when just to get some quantification of that? And any color on capacity bottlenecks that you're currently seeing that could be unlocked in any quantification there? So that's question one. Question two is a big picture pipeline question. So pipeline sales in 2020 roughly €700 million. You clearly have a €2 billion goal for 2022. Should we be thinking about €21 million in the middle of that range roughly €1.3 billion-ish or given COVID is this €2 billion going be more €22 million loaded now? And then thirdly on healthcare cost growth, obviously, a lot of cost discipline team within full year 2020. Any color as to how we should think about cost growth in healthcare this year, should we be thinking about a rebound from COVID lows, or is the absolute cost base still flat to declining? Thank you.
Stefan Oschmann: Thank you Sachin. I'm going to start with your Life Science question. So the investments we have, we are investing €140 million in Darmstadt in a new membrane production plant for aseptic filters. We have -- we're in the process of investing €100 million in Carlsbad more than doubling our current viral and gene therapy capacity. We have invested €59 million in medicine on mostly ADC, ADC production, and we have invested €40 million in Danvers and Jaffray. And we are creating 700 additional new jobs for single-use and filtration production. And since the last earnings call, we have continued to maximize output from all existing assets to meet customer demand. You remember we've discussed that we have a strict prioritization principle in place. That means we prioritize COVID means that non-COVID work gests deprioritized. Some of this demand may be lost, but we think that the majority of the demand will come back later. Our headcount as I said has increased from 3,800 or so to much more than that. And as part of our continuous improvement program we use Lean Six Sigma tools to drive our yield, our efficiency programs so that we can create maximum output. We have opened bout a 6,000 square meter expansion in Massachusetts for the mobile single-use product. And we expect this to basically double our capacity. And in Jeffrey that’s in New Hampshire, we have a new manufacturing line for the filtration virus or filtration systems that went also live in December and will increase our output significantly. You have also probably heard about the partnerships that we have with the various mRNA companies namely BionTech but also other companies on enhancing our output for lipid. And you may have -- you may remember that we have bought Mtech, a company in Hamburg that brings us into the active drug substance business for RNA. And we're reviewing our long-range demand for our product portfolio against the expected capacity. And we will continue to define a list of expansions and accelerate that further in a very timely fashion. And above all, we will be monitoring the situation. We're prepared to adapt our initiatives. And we think that we have sufficient capacity available in the medium-term. And I talk to our main customers. Our customers also want us to produce single-use reactors in Europe because of the U.S. Wartimes Act. We have very concrete plans and talking to a specific government in this context. Our mRNA and vaccine customers give us very good feedback on the ramp-up. And they expect to be -- they expect that some of these questions and we are not the only ones our competitors are on very similar situations won't be bottlenecks anymore in the near future. With that, I would hand over to Peter.
Peter Guenter: Yeah. So thanks Stefan. So on the question on the €2 billion pipeline ambition. So the short answer is yes, we remain committed to this ambition. On the question whether also due to ongoing COVID impacts on the higher efficacy market in MS made this be somewhat more back-loaded that this may well be the case but it depends, of course, how fast the normalization of the high efficacy market will launch.
Stefan Oschmann: Okay. I'll take the third one. Cost and healthcare in 2021. So first of all please note that at this early -- guidance on single cost lines in our three sectors. However, just to give you a little bit let's say food for thought or flavor. When looking on COVID-19 cost savings for the entire group we have seen a net number of around about €150 million occurring in 2020. And given that Healthcare is pretty much exposed to travel and also to external events, you can assume that we have I would say a slightly over-proportionate share of this €150 million going to Healthcare. For the entire Group, I think it is appropriate to assume that we would -- that we aim to get some 50% of those net savings sustainable into 2021. So that would be clearly an upside for the Healthcare cost for next year.  On the other hand, please keep in mind, the most recent news that you have gotten on xevinapant that will until launch date in 2025 also contribute some additional R&D costs predominantly to our cost lines. We have made the math obviously and we believe that for the next three years that will be a high double-digit million euro amount year-on-year additional in our cost lines. The last point please note that everything is included already in our guidance for 2021. 
Sachin Jain : Thank you.
Operator: And we will now take the next question from Peter Verdult with Citi. Please go ahead.
Peter Verdult: Yeah. Thank you. Peter Verdult with Citi. Just two questions. Just on Life Sciences again and Semiconductor Solutions. I think at Q3 you were talking about six to nine months visibility on Life Science. Could you perhaps in light of the surge in demand there as well as with semi, just update us with your latest thoughts on how much visibility you have with these businesses?  And then secondly, a two-part for Peter on Healthcare. Are you willing at this stage to give any sort of outline as to the commercial peak sales potential you see with xevinapant? And then more strategically the balance sheet deleverages and given the current pipeline and you arriving at the new Healthcare head, should we be expecting in-licensing efforts to be a much more visible part of your strategy going forward? Thank you.
Stefan Oschmann: So this is a question. I start with the Life Science question and I hand over to Kai for the semi question and then to Peter for Healthcare. Yes, we do have good visibility into the order book and that explains our optimism about a continued trend this year. We partner closely with our customers to ensure that we're able to successfully meet their requirements and that gives us this good visibility well now -- well into the second -- into the second half. We expect a strong first half of 2021 and a strong second half. However, versus the second half was stronger comps that's what would you need to take into account. We see absolutely no sign for any deceleration in this respect.  Let me say it again, nobody at this stage can clearly predict what the COVID situation is going to be. Nobody knows what kind of variance will emerge. How the vaccination regime is going to be in future. Nobody can at this stage. But there is a high likelihood for this virus to become endemic.  And if it's endemic, we see an enhanced trade of mutations especially in the Southern Hemisphere where the few people are being vaccinated that is -- I think that leads -- should lead us to a situation that -- where we should assume a significant probability for COVID vaccinations to stay with us. And given that that means that we're talking about longer-term trends.  One last comment on this. I have almost on a daily basis heads of government, people from the EU commission, from various countries on the phone who tell us that they -- one of the lessons out of this endemic is that our Healthcare systems must become more resilient and that they need to set up safety stocks of reagents for diagnostics and that they want to build up a vaccine and biologics infrastructure locally in various countries that governments want to partner with a company like ours that is yet another positive midterm factor.  With that to Kai. 
Kai Beckmann: Peter, let me take the question on semi. So the visibility on our side hasn't changed much over the time. So there is -- we use the same market forecast for their new REIT and with the high variability right now because nobody really knows how 2021 will pick up in terms of capacity as well. So many of our customers are investing quite a bit and these additional capacities have to come on stream first until there will be additional opportunities. However, I think you see our midterm forecast, you see in this year's forecast being quite aggressive.  We understand there's an opportunity to go up to the currently available capacity of our customers with kind of accelerated growth rates. However, just a word of precaution that the Q4 organic growth rate of course is exceptional. There were additional factors from our equipment business as well included. So that is not the run rate going forward. However, you could understand our long-term, midterm forecast is very valid and we are ranging at the upper end of that forecast for our semi business. 
Peter Verdult: Thank you.
Kai Beckmann: Peter?
Peter Guenter : Yes. So Peter, on the question first as for related to xevinapant. So to give you a bit of a flavor market size what we are talking about. So head and neck cancer remains a very important cancer worldwide. And with significant impact both in quality of life and social interactions, affectation on how they look, talk, eat and breathe, but also very poor long-term outcome with a five-year survival rate of less than 50%. So I think that's a clear indication of the degree of unmet need that is still there in this type of market.  Now for xevinapant so we will be looking at locally advanced high-risk patients in head and neck that are unresectable. And both in the US and in Europe, we are looking at patient pools of more than 20,000 patients each. The other thing -- so if we are successful in both studies so that is to say this cisplatin eligible and cisplatin ineligible patient population, we believe that actually xevinapant has blockbuster potential. So that's on your question related to xevinapant.  Your second question related to a more frequent, I would say, in-licensing strategy. Frankly, I think we are agnostic to it. It depends on the opportunity. It depends on the strategic fit. It depends on the strength of the biology or the strength of the POC. And I think if you look at it from -- with this angle to the xevinapant opportunity that we licensed and that is exactly what we want to look at. It's within our TA. It really fits us like a hand in a glove. We have deep-deep knowledge of the head and neck market, both commercially medically and from an R&D perspective. And if we come across other late-stage opportunities for in-licensing that really are a good fit for our portfolio, we will definitely consider those. 
Peter Verdult: Thank you.
Operator: And we will now take the next question from James Quigley with Morgan Stanley. Please go…
James Quigley: Hello and thanks for taking my questions. This is James Quigley from Morgan Stanley. So firstly, on the Debiopharm farm deal. How are you thinking about the locally advanced head and neck cancer landscape? So Keytruda is dominant in the metastatic head and neck cancer setting and has data in locally advanced setting this year versus your data which would come in 2024. How are you thinking about the comparing to that? And is there a chance of standard of care may move on slightly before you launch? And then, a clarification there as well. In the appendix the €300 million of the €380 million ARPU remarks, I imagine, focus head and neck indications. Could you confirm that is for the first two cisplatin eligible and cisplatin ineligible? And then the second question, on the Biliary Tract data. Apparently, it's been in-house for quite a while now. Is there anything -- I mean, are you committed to limit to by the end of March. I mean, is there anything in particular or unique about the data set that will require sort of additional analysis or a longer analysis than maybe we used to when other assets have come in-house and then been reported? And what is your view of the commercial opportunity for bintrafusp in the BTC indications? Thank you.
Stefan Oschmann: Both questions go to Danny. 
Danny Bar-Zohar: Thanks. Thank you, Stefan. So regarding the xevinapant question and the Keytruda in head and neck. So it is obviously something that we did look into quite diligently during the due diligence process. And generally speaking, as you said, most of the positive impact that immuno-oncology had in squamous cell carcinoma of the head and neck actually always comes from the relapsed and metastatic setting and we are not there. We are locally advanced and  settings. So it's a different setting. Now you rightfully mentioned that this KEYNOTE trial, which is very different from the TrilynX design, the Phase III with xevinapant. We are actually in the KEYNOTE trial, we're talking about one loading does of pembro and concomitant therapy with high dose chemotherapy and then maintenance with pembrolizumab. TrilynX is much similar. It's much shorter course with concomitant chemo radiotherapy with actually three additional cycles of xevinapant only for a total of six cycles. So with this regimen or actually with half of this regimen in the Phase II study, the results in terms of PFS and OS more than 50% reduction. And the risk of these events was something that raised more than one eyebrow in the medical community. Now if we look correctly at the clinicaltrials.gov for the KEYNOTES trial, the results will be available around April, May. So we'll need to look into that. That's the technical part, but it's also worth looking at pembrolizumab data in the locally advanced setting in the PembroRad study. It was a combination with radiotherapy versus erbitux in 130 patients. And in this setting I think that we could summarize it nicely. There was nothing there in terms of efficacy from whichever angle that you look at. You also remember -- we also remember the avelumab study the JAVELIN head and neck in the locally advanced combination with chemo radiotherapy, which is quite similar to what we are doing. This was an all-comer study. And as you also remember there was also nothing there in the all-comer population in terms of efficacy. Now the only hint and I think that -- I guess that that's the reason why you are asking, is the PD-L1 high subgroup in that study that show kinds of efficacy. But if we are using the same method if -- let me put it this way, if MSD is using the same method as we use in the Javelin study in terms of PD-L1, then we are talking about something like 17% 1-7% population. And with 17% of the population, while their analysis is at least according to what's in the public domain, is not defined like that. I think that we feel very confident that based on our proof-of-concept and the trial design for xevinapant, we will be able to showcase the efficacy and totally we would be there about the potential. Now, regarding the BTC data. As Stefan alluded to at the beginning, yes, the data is in-house for several weeks, I would say. But I think that to your question of what is missing? It's actually the 037. The 037 results actually took us a little bit by surprise. And we locked this study not the way we usually lock studies. It was locked in a haste and data keeps on flowing. So we learn from the data each and every day and we did prioritize I personally did prioritize this with the bintrafusp team working closely together with GSK and with external consultants to inform additional insights on that. Now in terms of -- so we will be able to communicate the BTC second line results by the end of this month, as we committed to as we promised. Now of note, there are other studies ongoing, BTC first line recruiting cervical second line fully recruited. And we are expecting the data to be in-house by the end of this year. And also the LUNG 005 study. So for sure, this is our commitment. Whatever we come up with in terms of additional insights on the biturafusp study, together with GSK, we will communicate. 
Stefan Oschmann: Next question, please. 
Operator: Next, we will now take the next question from Luisa Hector with Berenberg. Please go ahead.
Luisa Hector: Hello. Thank you and good afternoon. So on electronics, so I just wonder if you could make some comments there on the visibility you have. Obviously semis are very strong Q4. How far out can you see into 2021? And in surface, you mentioned ongoing pressure in cosmetics. Is that the key area of weakness still? And do you expect that to recover as COVID vaccinations gather pace? And in Electronics overall, you talk about retaining a 30% margin. But with the stronger outlook for 2021, what's focus there for some margin expansion? And I wonder if you wouldn't mind just commenting on the split of Mavenclad US and ex-US? And any comments on patient retention in Germany? Thank you.
Stefan Oschmann: So Lisa thanks for your questions concerning Electronics. So let me start with the visibility aspect, which I try to explain a bit on a larger scale in the previous question. So it's -- currently, it's hard to really have exact forecast in our industry. The market forecasts vary a lot and it change a lot from quarter-to-quarter. So typically, what we see of course is our customers' behavior. And I think, we were pretty good in the past two years to give you pretty exact forecast numbers and we were delivering based on these numbers. So would I see the next 12 months as well? We do not have the crystal ball however. So we need to look into the CapEx spending of our customers, whether new capacity comes on stream in order to give us additional opportunities. So by and large, what we see is not more than six to nine months in our industry. On Surface Solutions and cosmetics in particular, of course, cosmetics -- and especially, decorative cosmetics, which we are in. So we are our main field of cosmetics is decorative suffers a lot from locked down. So if people don't leave their house, they don't use any lipsticks. And that is something that continues until the lockdown situation eases. And -- but still, I think bear in mind, the cosmetics part isn't a substantial part of Performance Materials or Electronics in the current setting. So there is not much share of that business. And it will recover certainly after vaccinations and easing of lockdown. The retention of the 30% margin, I think it's a pretty simple calculation. So, if we get additional high-margin business, we rather invest our R&D spendings in that field to kind of generate additional sales growth. If you are above 30% margin, additional sales growth gives you much more returns on the long run. So this is why we do not intend to continuously simply grow margin and neglect the opportunity on the R&D side. That is why you see in our forecast this year, a pretty bullish forecast on the bottom line as well. So it's not that we relax on this side. But do not expect us to just put the money in the bottom line, but not invest in R&D. Peter?
Peter Guenter: Yes. So, thanks for the question Luisa. So, on the split between US and ex US, we do not disclose the regional split of sales. In terms of patients coming back after year two, I think that was also part of your question. So I can confirm to you that the year two returns continue to be high. And that actually has significantly improved since the start of the pandemic as both the HCP and the patient confidence has increased. And of course in this particular case, providing an oral solution definitely helps.
Stefan Oschmann: I think we have time for two more questions. So next question please.
Operator: Our next question comes from Simon Baker with Redburn. Please go ahead.
Simon Baker: Thanks for taking my two questions. Firstly, on Healthcare. The R&D spend in Q4 was a little higher than we were expecting. And I also -- sorry at the group level. And I also see there was a restructuring charge of a similar size in Healthcare. So are those two related, or is there any other reason why R&D was a little bit higher in the quarter? And then sticking with Healthcare, following the disappointment of bintrafusp in non-small cell lung cancer, I wonder if you could just remind us and update us on your activities and ambitions within non-small cell lung cancer? I noticed that that M1231 entered the clinic in January, but doesn't yet seem to have made it onto the pipeline slide. So wonder if you could just tell us what else you're doing in that space. Thanks very much.
Stefan Oschmann: Start with Marcus?
Marcus Kuhnert: Yes. So first of all, please note that we wouldn't always have, let's say, one quarter in terms of and R&D spend exactly equally the other. So, it can be that there are some fluctuations from quarter-to-quarter. And for sure, I mean the R&D number in the first quarter, contains a part of the provisions that we are building for the Healthcare transformation program, for Bright Future that is actually allocated to all of the cost lines and has in a way also inflated the R&D cost in Q4.
Stefan Oschmann: Yes. Thanks. Regarding the pipeline, so I think that the overarching statement, statement is that we are highly committed to non-small cell lung cancer. A couple of things to remember: first of all, still with bintrafusp there is -- there are actually two ongoing trials in non-small cell lung cancer. This is something that you all know. Just to remind everybody, we are running a Phase 3 trial with avelumab with Bavencio that is supposed to read out towards the end of the second year of -- the end of the second half of the year. This is an event-driven study, studying actually a much more condensed dose or high dose of avelumab in this setting versus chemotherapy. Now, the bigger hopes currently are for tepotinib, recently approved in the US. So, we marked that for MEDX14 operations in non-small cell lung cancer. And we are very excited about the ongoing study that we have in MET amplified patients of the resources. It's a combination with avelumab communications with the INSITE 2 study, which is recruiting right now. The field is highly interested in that, because there's growing evidence for MET amplification is the reason -- the main reason for failure response to osimertinib that is growing in market share quite substantially. So, this is another example of what we are doing in that field. To your question about the bispecific ADC, the MET 1, eGFR and M1231, so this is another piece of excitement for us. And I think that we communicated that, and it's already a clinical trial outgo. We have first patient in this study several weeks ago. And one of the indications tested there is again on small -- non-small cell lung cancer. So, I think that from that perspective, we are highly committed to this deal.
Simon Baker: Thanks so much.
Stefan Oschmann: Time for the last question please.
Operator: Perfect. And the last question for today comes from David Evans from Kepler Cheuvreux. Please go ahead.
David Evans: Thanks very much. So just two questions on Healthcare please. Firstly, on Bavencio in bladder cancer, outside of the US, you did touch on this. But I wonder if you could just give us some insights into likely rates of reimbursements in different countries? And any other limiting factors once reimbursement is achieved? Ultimately would you expect a reasonably fast launch uptake in markets once you get reimbursement, or are there any notable limiting factors? Should we really expect any meaningful sales in bladder cancer in Europe for this year or at least in 2022, would you expect a significant level of sales from Europe? And then, secondly, just on Glucophage, we didn't really see any notable dip in sales yet, but I was wondering if you could just give us some color as to what to expect this coming year for Glucophage, especially in China? Thanks.
Stefan Oschmann: Peter?
Peter Guenter: Yes. So thanks David, for the question. So, first your question on Bavencio. So as you rightfully said, we had approval on January 22 in Europe. Obviously, we're working diligently with -- in all the key countries to get as soon as possible the pricing and access procedures, not only started but also finished. You know that that takes time in most of the European countries. There are some exceptions to that rule for example, Germany. So we are actually preparing for the launch in Germany, as we speak. And we will roll this out in the next days. Same goes for Japan. And other countries, we try to leverage all let's say, opportunities we have to further accelerate sales that will then come in 2022. As an example, we are participating at ATU in France. And I have to tell you also that the development of that ATU in France is extremely, I would say, interesting. Your second question on, Glucophage in China, so indeed, we went into the VBP Round 3. You know that all the metformins on that one were "Chinese" manufacturers. And we expect the full impact of this VBP in actually as of the first quarter of this year of 2021. Perhaps, I remind you of two things. Number one is that, the winners have access to 80% of the hospital population, meaning that 20% of the hospital population remains available to the non-winners, which is about 50% of the total market. And then, there's another chunk of about 30% of the total market that is in the retails, I think and that is of course not impacted by the VBP. So, long story short is that, Glucophage remains available to about 45% of the Chinese market. I also remind you, that of course it's very, very strong tailwinds on the overall metformin market in China due to the diabetes epidemic that we are witnessing there. We will continue to profit from that tailwind from a market perspective. And then, last but not least, Glucophage in China is only part of course of the overall base business. If you think about the overall base business, Glucophage China is actually around about 5% of that total, right? Because you know that the base business contains, much more than actually only the cardiovascular metabolic and then the chronology, fertilities in that bucket et cetera, et cetera. Erbitux is in that bucket. So that puts a little bit perspective to the Glucophage China question.
Constantin Fest: Thank you. Thank you. Over to you Stefan for closing words, please.
Stefan Oschmann: Thank you very much Constantin. And thanks to everyone for your continued interest in Merck. And as you know today is my last earnings call at Merck. So please allow me to end this on a personal note. I have had over the 10 years interactions with many of you, I guess, most of you, I mostly enjoyed these interactions. I learned a lot from you. This has never been a one-way street. We take very seriously we've always taken very seriously, what we hear from you what the influencers are thinking. We value the exchange with you. So thanks for your critical questions. And the many fruitful discussions, we've had. You help me become a better businessmen, and Merck, a better company. I'm retiring from Merck, not necessarily from business. And I would be surprised if one of the other of us would have contacts in future and -- with me in a different type of inclination. I wish you sincerely wish you all the best both personally and professionally. And thank you again and goodbye.
Operator: Ladies and gentlemen, thank you for your attendance. This call has been concluded. You may disconnect.